Operator: Good morning and welcome to Genie Energy’s Second Quarter 2023 Earnings Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation by Genie Energy’s management, there will be an opportunity to ask questions. Please note this event is being recorded. I will now turn the call over to Brian Siegel of Hayden IR.
Brian Siegel: Thank you, operator. With me today are Michael Stein, Genie Energy’s CEO; and Avi Goldin, Genie Energy’s CFO, who will discuss operational and financial results. Any forward-looking statements made during this conference call, whether general or specific in nature, are subject to risks and uncertainties that may cause actual results to differ materially from those statements. These risks and uncertainties include but are not limited to those discussed in the reports that we file periodically with the SEC. Genie assumes no obligation to update any forward-looking statements that we have made or may make, or to update the factors that may cause actual results to differ materially from those that we forecast. During the remarks, management makes reference to adjusted EBITDA, a non-GAAP measure. Management believes that its measure of adjusted EBITDA provides useful information to both management and investors that supplement our core operating results. Our earnings release, which is posted on the genie.com IR page, includes a reconciliation of consolidated adjusted EBITDA to its nearest comparable GAAP measures, consolidated net income and income from operations for all periods presented. In addition, adjusted EBITDA for applicable segments are reconciled in the earnings release to the respective segments’ income from operations for all periods presented. I will now turn the conference over to Michael Stein, Genie’s Chief Executive Officer.
Michael Stein: Thank you Brian and welcome to our investors and other stakeholders listening today. During the second quarter, we built on our positive first quarter momentum, continuing to add significant numbers of new retail energy customers, expanding and advancing projects within our solar project pipeline and delivering very strong financial results, including record levels of second quarter revenue and income from operations. At GRE, commodity prices [ph] again remained stable during the quarter. In this favorable environment, we pushed to acquire new customers. By quarters end, we had added 75,000 gross new meter ads in the quarter, more than double the year-ago pace. RCEs increased by 45% to 380,000 and meters by 36% to 381,000. We are now serving more RCEs than ever before in the company's history. Financially, the increase in meter acquisitions is reflected in both our increased sales and marketing spend and in our growing revenue base. Meanwhile, our churn rate dropped to 4.3% from 4.4% in the prior and year ago quarters. We are particularly pleased with this since churn usually accelerates during higher customer acquisition periods. The current decrease reflects great work from our customer attention team, which is making a more significant impact with each passing quarter. A big shout out to them for a job well done. We will continue to focus on minimizing our churn even as we further build our customer base in upcoming quarters. At Genie Renewables, or GREW, we continue to build our pipeline of company owned projects in the second quarter. We gain side control on another five projects, totalling roughly 30 megawatts, bringing the total number of pipeline projects to 15 with an aggregate 108 megawatts of potential power generation. In April, we broke ground on our first community solar project, a project in Perry, New York, and in July after the quarter closed, we achieved notice to proceed on a second community solar project, this one, a 6.25 megawatt community solar farm in Lansing, New York. Looking ahead, we are making great progress within our development pipeline and expect to gain side control on more potential projects in the second half of the year. The economics of these projects are attractive and we anticipate retaining ownership in most, if not all of them, to leverage our strong balance sheet and relatively low cost of capital and maximize shareholder value creation. As a result of our strong performance year-to-date and positive outlook, we are increasing our consolidated 2023 adjusted EBITDA guidance to the $47 million to $55 million range from the $40 million to $50 million range we forecast at the start of the year. Our upwardly revised guidance also represents a powerful increase from our pre-2022 normalized EBITDA, which was in the $25 million to $30 million range. The improvement in our performance reflects our significantly larger customer base, our transition to operating exclusively in domestic retail markets, our proven ability to operate our R&D's profitably across a wide range of market conditions in those domestic markets and our focus on operational excellence. We strive to continually enhance our analytics and operational capabilities and our success is reflected in our bottom line results. Our guidance also includes continued investment in new retail customer acquisitions in the second half of the year. With wholesale energy costs this year remaining at lower levels than last year, we are pursuing targeted opportunities created by higher legacy cost base rates of certain incoming utilities. This organic growth strategy should enable us to cost effectively expand our meter base in the second half of the year albeit at a lower rate of meter adds than in the first half. Looking to the second half of the year for GREW, we are on target to complete construction of our Perry New York farm and begin construction of the Lansing project, while incrementally continuing to advance and expand our project pipeline. To wrap up, we continue to deliver strong operational and financial results in the second quarter, while significantly increasing our retail customer base and taking significant steps forward in our emerging renewable businesses. We also continue to fulfil our on-going commitment to return capital to our stockholders by redeeming the remaining preferred stock and paying our quarterly common stock dividend. In all, this was another very strong quarter, and I want to acknowledge the efforts of my Genie colleagues that make it possible. Thank you, team, and keep up the good work. Now I'll turn the call over to Avi for his discussion of our Q2 financial results.
Avi Goldin: Thank you, Michael, and thanks to everyone on the call for joining us this morning. My remarks today focus on our financial results for three months ended June 30, 2023. Throughout my remarks, I'll primarily compare second quarter 2023 to the second quarter of 2022 to remove from consideration the seasonal factors that are characteristic of our retail energy business. The second quarter is typically impacted by seasonally low levels of per meter electricity and gas consumption, as it falls between the year’s peak heating months in the first quarter and peak cooling months in the third quarter. Genie’s second quarter financial results again reflected our retail business is very strong underlying fundamentals and continued investments to build out our renewables platform. At GRE, we achieved record second quarter revenue, gross profit, income from operations, and adjusted EBITDA powered by the rapid growth of our customer base in the first half of this year, margins for the quarter were strong by historical standards, although slightly below last year's exceptional second quarter. At Genie Renewables, we continue to make progress in our solar generation development type line, while our other renewables businesses performed well. From a balance perspective, our strong operating results for this quarter enable us to further fortify our financial position, even as we continue to return value to shareholders through quarterly common stock dividends and their redemption of the outstanding shares are our preferred stock. Now let's look at the quarter's results in more detail. The second quarter consolidated revenue increased 40% to $93 million driven by our retail business. At GRE, second quarter revenue increased by 42% to $90 million on strong electricity sales, which increased by 51% to $80 million. Kilowatt hour sold increased by 47% on a comparable percentage increase in average electric meter served. Our average revenue per kilowatt hour sold edged up 3%. Gas sales decreased 11% to $9 million on an 8% decrease in therms sold. At renewables, revenue was $3.7 million impacted by strong growth at Diversegy. Gross profit on a consolidated basis is in second quarter increased 28% to $38 million from $30 million while gross margin decreased 370 basis points to 41%. At GRE, gross profit increased 29% to $37 million, gross margin decreased to 220 basis points to 42%, well above historical levels. Compared to year ago quarter, kilowatt hours sold increased by 47% but gross profit per kilowatt hour sold was 17% lowered as the year-ago quarter was impacted by an unusually strong margin position. Consolidated SG&A increased 28% to $23 million. GRE, SG&A increased 31% to $19 million, reflecting significant increase in gross meter acquisitions compared to the year-ago quarter. SG&A was unchanged compared to year-ago quarter at $2.1 million. Solid income from operations increased 28% to $15 million in the second quarter on the strength of GRE's expanded electricity customer base. Solid adjusted EBITDA increased 30% to $15.8 million. At GRE, income from operations increased 28% to $18.4 million and adjusted EBITDA increased 27% to $18.8 million. The increase in GRE’s gross profit more than offset the increased spending from meter acquisition. Genie Renewables loss from operations in negative adjusted EBITDA, were $1.3 million and $1.2 million respectively compared to a loss from operations of $518,000 and negative adjusted EBITDA, $508,000 to year earlier. As was the case last quarter, the results reflect increased SG&A spending as you ramp up our investment in solar projects. These projects are expected to begin generating revenue early next year as our first community solar projects come online. Diluted earnings per share from continuing operations which exclude any impact from our international operation increased to $0.45 in the second quarter of 2023 compared to $0.26 a year earlier. Genie’s diluted EPS was $0.57 on net income attributable to Genie common stockholders of $15 million compared to EPS of $1.30 on net income attributable to Genie common stockholders of $33.9 million a year ago quarter. The decline is caused entirely by lower net income from discontinued operations as the year ago quarter included a significant one-time gain at our European retail business. Turning now to the balance sheet, at June 30, cash, restricted cash and marketable equities securities totalled $115.1 million. Working capital was $156 million and non-current liabilities totalled just $2.8 million. To wrap up, the company continued to deliver strong performance, achieving record revenue and income from operations in the quarter, driven by the strong operational performance that Michael will cover in his remarks. We continue to return value to shareholders not only paying the dividend in our common stock, but completing the redemption of our preferred stock. Our strong first half results to robust growth of our customer book and our competitive position in the retail energy market position as to raise our guidance for the year. Now operator back to you for Q&A
Operator: [Operator Instructions] Your first question is coming from Narita Fruta [ph], a private investor.
Unidentified Analyst: Yes, hi, guys. Congrats. Really amazing quarter, very impressive. My first question is, it's great that you're raising estimates, and I'm just wondering right now, how conservative those estimates are considering the growth of meters and the on-going heat wave across the country where ACs are running nonstop. So I assume the electrical bills will be up significantly in quarter 3. And I'm just wondering if you can comment on that situation and kind of what you're seeing?
Michael Stein: Hi. Thanks. Thanks for the warm wishes. We're going to stick by that guidance. We feel very, very confident that we're going to hit it. Yes, throughput is strong during this summer. No question about it.
Unidentified Analyst: And then how does it work in terms of, the wholesale costs when the electricity usage is going up so significantly, especially in Texas? Are you guys affected by that at all?
Michael Stein: Yes, Texas, we've definitely seen a few days of price spikes throughout the summer, but it hasn't been for a sustained period. It's more a few hours a day here and there. So it's nothing like what we saw during Winter Storm Uri. We don't have those concerns. As far as the rest of the country, costs have stayed pretty tame relative to the hot weather that was expected or that we've been experiencing, rather. That probably has a lot to do with the fact that we had a large natural gas storage excess across the country. So we're in good shape.
Unidentified Analyst: Great. And just one more quick question. Do you have any update on the cash that's held by the U.K. administrators? I'm not really clear on where that would show up in the balance sheet or whether you got that money back yet?
Michael Stein: I'll let Avi talk to where it would show up on the balance sheet. We haven't gotten money back yet, but that is definitely making its way through the courts and the administration process. We do expect resolution this year.
Avi Goldin: Hi, Narita [ph]. This is Avi. So that would show up in current assets of discontinued operations on the balance sheet.
Unidentified Analyst: Okay. All right. I see it. Thanks a lot.
Avi Goldin: And that's part of that number. Other elements in there as well.
Unidentified Analyst: Okay. Thanks. Great quarter again. Thanks a lot, guys.
Avi Goldin: Thank you.
Operator: [Operator Instructions] This concludes our question-and-answer session and conference call. Thank you for attending today's presentation. You may now disconnect.